Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:05 Welcome to Teekay Corporation's Fourth Quarter and Fiscal 2021 Earnings Results Conference Call. During the call, all participants will be in a listen-only mode. Afterwards, you will be invited to participate in a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. 00:32 Now, for opening remarks and introductions, I would like to turn the call over to the company. Please go ahead.
Ryan Hamilton: 00:39 Before we begin, I would like to direct all participants to our website at www.teekay.com, where you will find a copy of the fourth quarter of fiscal year 2021 earnings presentation. Teekay’s President and CEO, Kenneth Hvid and Teekay’s CFO, Vince Lok will review this presentation during today’s conference call. 00:57 Please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from results projected by those forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the fourth quarter fiscal year 2021 earnings release and presentation available on our website. With that, I will now turn the call over to Vince to begin.
Vince Lok: 01:22 Thanks, Ryan. Good morning, everyone and thank you for joining us today for Teekay Corporation's fourth quarter and fiscal 2021 earnings conference call. Before I hand the call over to Kenneth, I will briefly review our financial results. 01:36 Starting with the recent highlights on slide 3 of the presentation. In the fourth quarter, we reported a consolidated adjusted profit of $8 million or $0.08 per share, up from $95,000 in the prior quarter. We also generated total adjusted EBITDA of $182 million, up from $165 million in the previous quarter. Our Q4 results were stronger mainly due to a modest improvement in spot tanker rates. In fiscal year 2021, we reported a consolidated adjusted net profit of $20 million or $0.19 per share compared to $83 million or $0.82 per share in the prior year, and generated total adjusted EBITDA of $721 million compared to $1.1 billion in the prior year. This decrease primarily reflects the exceptionally strong tanker market in the first half of 2020. 02:35 Please note that our consolidated net income and total adjusted EBITDA results for Q4 and fiscal 2021 include Teekay LNG, even though Teekay LNG's results are presented as discontinued operations in our financial statements. On January 13 of this year we successfully completed the sale of all of our interest in Teekay LNG to Stonepeak, bringing in gross cash proceeds of approximately $641 million to Teekay Parent. Upon closing the sale, we expeditiously eliminated approximately $330 million of high-cost debt ranging between 5% and 9.25%. Teekay Parent is now largely debt free with a net cash position of over $300 million. 03:25 Looking ahead to Q1, we expect our consolidated results to be lower as a result of the sale of our interest in Teekay LNG in mid-January 2022, partially offset by significantly lower interest expense due to Teekay Parent now being largely debt free. For guidance on our first quarter results, please refer to the appendix of this presentation. 03:48 With that, I will now turn the call over to Kenneth.
Kenneth Hvid: 03:53 Thanks, Vince. And good morning everyone. Turning to Slide 4, I will comment on the steps we have taken the past year to position Teekay for the future. We expanded our asset light marine services business in Australia through a new strategic long-term contract with the Australian Government Department of Defense in September last year. We've had a presence in Australia since 1997 and we are now providing services for 9 Australian government vessels, which provides a solid and profitable foundation to further grow this business. 04:26 We continue to wind down our FPSO business, starting with the balance of the decommissioning of the unit is now completed and we are nearing completion of the recycling of the unit in Europe. We're now planning for the decommissioning of our remaining 2 FPSOs, we received the formal notifications from our customers and expect the contracts to end of -- on the Hummingbird and Foinaven in May and August 2022, respectively. Hummingbird’s decommissioning process is well advanced and relatively straightforward. The Foinaven decommissioning and recycling cost is expected to be largely covered by contractual payment from the customer. 05:02 As Vince mentioned earlier, we completed the sale of all our interest in Teekay LNG to Stonepeak with Teekay Parent realizing total shareholder return of 203% and an annual IRR of 12.5% since TGP’s IPO in 2005. Since announcing the TGP Stonepeak merger in early October last year, the team has been working very hard on separating TGP from the rest of the Teekay Group and setting up both companies for future success. We have now transitioned all the gas employees to TGP, which is being rebranded as CP, and we expect the remaining restructuring and transition activities to be completed throughout 2022. Lastly, we have now transformed our balance sheet and are now largely debt free with a net cash position of over $300 million. 05:51 Turning to Slide 5. We look at Teekays current portfolio. As mentioned on the previous slide, we have a number of transition activities that will continue throughout 2022 as we are evolving both our organization structure and our business mix. We're excited about the opportunities to create shareholder value with a lean organizational structure and stronger balance sheet. Starting with our position in our publicly traded daughter subsidiary Teekay Tankers, which is a well-established platform that provides significant and diversified exposure to tanker market recovery. We have recently opportunistically invested $10 million of our cash balance to further build our position and TNK, acquiring shares in the open market at an average price of $11.03 per share. With these purchases we now have an economic ownership of over 31% and voting control of over 55% in TNK. Based on TNK’s closing price yesterday, our current position is valued at $125 million or $1.23 per Teekay Corp share. 06:53 Next is our marine services for the Australian Government, which is a specialized asset light niche business with a strong counterparty. This long-term contract business currently contributes as stable annual profit of $5 million to $6 million with potential for future growth. And this is one example where we're able to leverage our operating platform to enhance our profitability with minimal invested capital. 07:19 Lastly, as mentioned earlier, our net cash position is over $300 million equal to over $3 per Teekay Corp share and we can't stress enough the importance of having financial strength and flexibility as a critical ingredient to achieving higher returns and allowing us to be opportunistic and counter-cyclical. 07:39 Looking ahead, we stand to benefit from the strong operating franchise and capabilities developed over our nearly 50-year history combined with our renewed financial flexibility. As the pushes for greater energy diversification and a lower environmental footprint, we expect to see investment opportunities in both the broader shipping sector and potentially new and adjacent markets. We believe that Teekay is well positioned to patiently and selectively pursue a range of attractive future investment alternatives that leverage our core competencies, relationships and institutional knowledge to create long-term shareholder value. Please refer back to our earnings conference call last quarter where we provided some comments on future opportunities, including the broader shipping sector and participation in the global energy transition. 08:31 Before we conclude this call, with the completion of the sale of Teekay LNG to Stonepeak, in the near term, most of our consolidated earnings were closely mirror that of Teekay Tankers. On a quarterly basis TNK provides a detailed outlook on the tanker market along with various operational and financial updates. At this time, we believe it will be duplicative for Teekay Corp to also have quarterly earnings calls. Starting next quarter Teekay Corp will continue to provide quarterly earnings releases. However, our investor conference calls won't be on a schedule quarterly basis, but instead they will be more event driven as we enter into new investments in the future. 09:10 Although our investor conference calls would be more adhoc going forward, we fully intend to maintain transparency and want to continue to have frequent dialog with investors. So please reach out to our Investor Relations Group. 09:23 With that, operator, we are now available to take questions.
Operator: 09:37 All right -- Please go ahead.
Kenneth Hvid: 09:44 Any questions [indiscernible].
Operator: 9:46 [Operator Instructions] And there are no questions in the queue at this time. We just had a late question, would you like to take that question?
Kenneth Hvid: 10:04 Thank you for listening today. And please tune in [indiscernible] earnings conference call following this call with TNKs CEO and CFO. Thank you.
Operator: 10:19 And this does conclude today's call. We do thank you again for your participation and you may now disconnect.
End of Q&A :